Operator: Good day, and thank you for standing by. Welcome to EOS Energy's First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded.
 I would now like to hand the conference over to your speaker today, Liz Higley, Director of Investor Relations. Please go ahead. 
Elizabeth Higley: Good morning, everyone, and thank you for joining us for Eos' financial results and conference call for the first quarter 2024. On the call today, we have Eos' CEO, Joe Mastrangelo; and CFO, Nathan Kroeker.
 Before we begin, allow me to provide a disclaimer regarding forward-looking statements. This call, including the Q&A portion of the call, may include forward-looking statements, including, but not limited to, current expectations with respect to future results and outlook for our company and statements regarding our ability to secure final approval of a loan from the Department of Energy LPO or our anticipated use of proceeds from any loan facility provided by the U.S. Department of Energy, which are subject to certain risks, uncertainties and assumptions.
 Should any of these risks materialize or should any of our assumptions prove to be incorrect, our actual results may differ materially from our expectation of those implied by these forward-looking statements. The risks and uncertainties that forward-looking statements are subject to are described in our SEC filings. Forward-looking statements represent our beliefs and assumptions only as of the date such statements are made. We undertake no obligation to update any forward-looking statements made during this call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events, expect as required by law.
 The conference call will be available for replay via webcast through Eos' Investor Relations website at investors.eose.com. Joe and Nathan will walk you through the company highlights, financial results and business priorities before we proceed to Q&A.
 With that, I'll now turn the call over to Eos' CEO, Joe Mastrangelo. 
Joseph Mastrangelo: Thanks, Liz. Welcome, everyone. Thanks for taking the time here this morning. Let's jump right into what I think is the biggest news of the session here today. Last week, we successfully completed the factory acceptance test for the state-of-the-art Line 1 with our automation partner, Acro Automation in Wisconsin, really a tremendous achievement by the combined team of the 2 companies to get the FAT completed in the way that we got it completed.
 And we got through final system debugging and integration in 6 weeks. The total cycle time on the line is a battery moving through stations around 12 seconds. We really have a couple of stations that we need to tune in. The majority of the stations are running at the 10-second target. We've got a clear line of sight to get to that 10-second cycle time. It's very impressive to watch the batteries go through the manufacturing process and see how far we've come and see the quality that's able to come off of the line.
 Now, when you take a look at that and now think about what's next, what's next? First equipment arriving today in Turtle Creek, and then start being installed in our factory here in Building 700 here where we've been manufacturing on the semi-automated line. Pretty exciting time here. The operators have been trained on the state-of-the-art line during FAT, and then our installation and commissioning is on plan per our schedule.
 Now, I think this is very important for us as a company in a couple of areas. One, we continue to execute to the plan that we laid out at our strategic outlook session in December. The second piece is getting through the FAT as a critical step as we think about customers wanting to see our ability to execute on large projects. And three, as we talked about, this is also, SAT is a critical milestone as we continue to work with the Department of Energy on our Loan Program Office conditional commitment. So really great job by the team to achieve the schedule, great job to really start positioning now for SAT and truly ramp up production here as we go forward.
 If we switch to the next page and just talk about where we are running the business operationally versus the targets that we laid out in December, we talked about continuing to improve the performance of the Z3 module. Nathan will talk through in his section some of the cost out and work that we've done that we talked about in December. We cut in a new Eos Z3 inline cube, which improves the overall power density of the product out in the field. We also transitioned over to lower cost, higher energy density Z3 battery module. This will allow us to reduce overall product costs and manufacturing costs to bring the product to market.
 On our path to profitability, which is our overriding goal as you think about where we are in 2024, we've secured 55% of our direct material cost out target, a phenomenal job by the team to be able to do this. More importantly, I think when you think about this in the context of the overall market, we believe that we're above 90% of U.S. content, while achieving that cost out. So once again, like one of our core tenants is to allow our customers to maximize their benefits under the investment tax credit of the IRA. Continuing to do that while driving down cost of our product is a testament to our belief that we can still build competitive products here in the United States.
 Field data -- field operating data is the next critical component. We've shipped over 110 Z3 cubes to 5 different customers. We're beginning commissioning on 3 of those projects. I'll talk about them on a subsequent page, but that's going to be the critical next milestone when you think about where the Z3 evolves to is getting those assets up and running for customers out in the field. We have 1 of the 3 that are getting very close to start operating with the other 2 starting operations in early third quarter.
 Commercial momentum, the big announcement of extending our MSA with Pine Gate Renewables, a very big recurring customer. Our largest installation is with Pine Gate, so a testament to our ability to execute out in the field. We are working on 1.2 gigawatt hours of late-stage opportunities to continue to convert into orders. I think, again, going back to the previous page, that conversion into orders really is going to start to see momentum as people can come and see the line and be able to look at a battery coming off the line every 10 seconds and be able to say that Eos is capable to deliver at scale.
 I think that's critical as we start to see projects getting bigger in size. People want to be able to see that you can deliver not just the small bespoke prove out a technical concept, but be a true scaled operating company. And that's the path that we're on as a team. We continue to improve our overall digital capability. We've taken a lot of the lessons learned from the Gen 2.3 product out in the field and rolled that into the logic around our BMS. If you go back and look at what we said in December around state of health, state of charge, overall operating and optimizing performance for customers, using that data and applying it to the Z3 is just going to make those purchases that customers are making up the Z3 more valuable as they get out in the field and installed.
 On the liquidity front, Nathan will walk through where we are on monetizing our production tax credits and bringing in that capital to the company to allow us to keep operating. And we continue to work to achieve our DOE loan requirements and continue to work with the LPO to get to loan closing, and feel really good about also the operational aspects of the business and being able to bring capital -- being able to bring cash into the business through delivering on project milestones and being able to invoice and collect cash as we execute on those projects for those 110 cubes that we've already put out in the field.
 If we go to the next page, just our normal operating highlight page, commercial pipeline standing at above $13 billion, 49 gigawatt hours of opportunities, booked orders $125 million last quarter, which is the Pine Gate MSA extension. Our orders backlog now stands above $600 million. That's 2.4 gigawatt hours of backlog. If you think about where we are on the initial introduction of the state-of-the-art line, that's 2 years of capacity of the state-of-the-art line. When you really think about some of the things Nathan will talk about when he gets in there, we've already started thinking about how do we take that state-of-the-art line, get it up and running at the 1.25 gigawatt hours that we've talked about, but then increase that to allow us to continue to grow the business as we see our pipeline accelerating.
 Discharge energy, this is probably 1 of the other biggest milestones that we have in the presentation. We're above 3 gigawatt hours of discharge energy with 2.6 gigawatt hours of that coming in customer sites out in the field. Our revenue is $6.6 million, 100% of that coming from the Z3 production. I think what we see, and when you really look at this and look at it on the basis of quarter-over-quarter performance, you're really starting to see the aspect of being able to manufacture the product at scale and being able to see the cost work that we've been doing come through and when you look at our cost of goods sold. And lastly, cash on hand was around $32 million at the end of the quarter. It doesn't include restricted cash that we hold for our Atlas debt that we have on the balance sheet.
 Shifting as we move into commercial, the commercial opportunity pipeline and the orders backlog. If we go to Page 7, first I want to start off with what I think is a really valuable page from the value that the team is creating around Eos in the energy storage field. Left-hand side of the page shows the discharged energy coming off of our systems, that dark green line, our energy discharged down the field. When you just think about what we've done, we've discharged 1.4 gigawatt hours of energy in the first 4 months of 2024, and we've discharged 400 megawatt hours in the last 3 weeks.
 So when you really think about the assets being able to operate, the technology being able to work out in the field, we're learning every day, we're improving the performance every day, but you can see the durability and the flexibility of the product as customers use that on the field. That's mostly energy being generated off of Gen 2.3. I just want to be clear on when you look up on the top, 2.6 coming from the field, 2.2 gigawatt hours, it says FAT, I just want to be clear that that's Factory Acceptance Testing of cubes and containers prior to being shipped from the factory, not associated with the Factory Acceptance Testing that has been done on state-of-the-art Line 1 for the Z3. Then there's around 0.2 gigawatt hours on the lab that totals up to 3 gigawatt hours.
 Now on the right-hand side of the page, another important proof point, when you think about proof points in the market and showing Eos's ability to grow into the demand that we see on the field. First proof point we talked about today is the ability to be able to manufacture at scale. Big milestone in being able to deliver the Factory Acceptance Testing on state-of-the-art Line 1. Second proof point is the left-hand side of this page, which talks about assets operating, discharging energy out in the field, and showing that the technology works.
 The right-hand side of the page, I think, is the third important proof point, which is Z3 operating out in the field. You can see 3 projects that are currently installed out in the field, 1 of which completing its commissioning, and the other 2 scheduled to complete their commissioning here in the beginning of the third quarter. That will then start generating and adding to that line on the left-hand side of the page, which will no longer just be Gen 2.3, will become Gen 2.3 plus Z3 operating out in the field, which is another critical proof point in how we grow the company for the future. Which takes me to Page 8, which is our current pipeline, our traditional pipeline page that we talk about.
 You'll see, there's been a lot of flow in the pipeline during the quarter. Lead generation continues to grow. You have to realize, like we're showing net numbers. There's always ins and outs in every bucket, but we continue to add really strong core lead generation, which will then go into this commercial opportunity pipeline, which is technical proposals, non-binding quotes, and LOI firm commitments. You see LOI firm commitments being down from prior quarter. A lot of that has to do with the signing of the Pine Gate order. There's also some changes in projects that we have as far as sizing of projects and projects that didn't materialize even though we had a binding or an LOI and a firm commitment from our customers.
 Now, inside of that, we talked about late-stage opportunities last quarter. That stands at 1.2 gigawatt hours. The change in that number is, again, Pine Gate moving over into the booked order side, and then 1 project where the sizing of the project got smaller as the customer looked at their ability to generate profit off of a project and balancing the land available, the financing available, and the need for the power. So that takes that to 1.2 gigawatt hours. We continue to work across that portfolio to be able to continue to grow the right-hand side of the page, which is that backlog which stands at $602 million today with 2.4 gigawatt hours, up 13% from where we were last quarter.
 So, continue to make progress here. Continue to have to work through putting the proof points on the board, the 3 important proof points that I think about operationally that lead to taking this pipeline page to booked orders, which eventually translates into revenue, having the line up and running, showing that the product works out in the field, and then ultimately for shareholders is working through the cost-out equation to get the company to profitability.
 And with that, I'll turn over to Nathan, who'll walk you through the progress that the team has made here since we last spoke for year-end earnings. Thanks. 
Nathan Kroeker: Thanks, Joe. Thanks, everybody, for joining us this morning. I will spend the rest of the time walking through where we are on our cost-out roadmap, along with our first quarter performance, and an outlook for the rest of 2024.
 Moving to Slide 10, I just want to spend some time on 2 programs that are critical to our cost-out program and part of the manufacturing cutover that we undertook last month and as we discussed back in December. If you look on the left, what you see here is the new lower cost, higher energy density module that was designed for further cost-out, as well as being uniquely designed in anticipation of our automated line. If you remember from our last call, Joe talked about increasing the surface area of the felt on the bipolars and replacing the terminal electrodes with conductive plastic. Having more felt surface area means you have the ability to retain more energy, which has resulted in 15% more energy per module.
 Further, you can see the differences in the lids on these 2 images. The design has evolved as we replaced the titanium stud in the old design with a tab that is sealed in place with potting compound to improve manufacturability and reduce cost in the automated line. All of these enhancements take cost out of the product and improve the performance, both of which were key components of our cost-out roadmap that we laid out in December.
 Now, switching to the inline cube, we are very proud of the team that has taken a concept and brought it to reality in just 4 months. This design was created with the intent of capitalizing on the value propositions of our Z3 battery technology and by working with customers and incorporating their suggested enhancements that they value as our projects get larger in scale. The new inline cube has benefits in terms of the speed of loading batteries into the cube in our facility in Turtle Creek. But perhaps more importantly, it also has benefits for our customers as it simplifies the site setup and site energy density as the new inline cubes can be placed directly next to each other rather than leaving spaces between each cube.
 The design enhancements seen in both of these programs is a testament to the hard work and dedication of our talented team, particularly in our research and development departments, and they have been instrumental to our cost-out program. Our cube now has an energy density of up to 695 kilowatt hours for longer duration applications, and we have scheduled to further increase energy density in Q4 with the projects that Francis laid out back in December.
 Now, flipping to the next page, we continue to see progress on our cost roadmap that we have been talking about for the last couple of quarters. When you look at the left-hand side, you see we started off at 100% when we first launched the product, and we're now down to 59%, and we continue on our way to 20%, which would represent 80% cost-out from product launch to manufacturing at scale. A lot of this has to do with ramping up the line, but also acceleration of our direct material reductions as we transition to the lower cost design and continue to negotiate strategic supply agreements with larger U.S. suppliers, as Joe discussed earlier.
 As of March 31, we have locked in 55% of our direct material cost-out target, and we expect to see these benefits flow through our financials in the second half of the year. You can also see on the page that we had lower overhead absorption from the prior quarter, which we discussed on the Q4 call. You will recall, this was expected as we cut in some design enhancements into our semi-automated manufacturing line at the end of Q1 and into Q2 as part of the implementation of our newly designed product as we talked about earlier.
 We expect to continue to have lower overhead absorption in the second quarter as we have scaled back production volumes in anticipation of the transition to the new state-of-the-art line. We feel really good about where we're at, and as we begin to ramp up in the back half of the year, we believe we will continue to see benefits through scaled production, improving both our overhead and direct labor efficiencies.
 Now, moving to Slide 13. Before getting into the first quarter financial results, I will start with an update on our cash position as we continue to make progress on securing our long-term financing. We ended the quarter with $31.8 million in cash on the balance sheet, not including $14.5 million of restricted cash, which is primarily related to our senior secured loan. We are very focused on minimizing cash burn and optimizing working capital to support our ongoing operations and strategic objectives.
 As a proactive measure to conserve capital, we made the strategic decision to scale back production volumes in the second quarter and prioritize shipping new product from our automated line. While the unit economics of the new line are better as a result of better labor and overhead absorption, we still expect to be at negative contribution margins in the short term, but we do have a clear path to positive unit margins as we ramp up over the next few months.
 We have also been taking measures to increase cash flow and enhance our liquidity as we monetize our tax credits and collect on customer milestone payments. On April 22, we finalized our first transaction to monetize our production tax credit in an agreement with Banyan Software. The sale was executed at a 10% discount to the face value of the credits, which was in line with our expectations and resulted in a cash infusion of $2.3 million. Going forward, we expect to take a more accelerated approach to monetizing these tax credits on a regular basis in an effort to offset our cash usage from operations and strengthen our balance sheet. With that, let's get into our financial results.
 In the first quarter, revenue was $6.6 million, flat to last quarter, and down roughly 25% from the prior year on 18% lower unit volumes as we transitioned to Z3, combined with a slightly lower average selling price. In the quarter, we delivered Z3 systems to 2 customers and completed our final shipment to a key customer owned by a large North American infrastructure fund in Orchard, Texas, just outside of Houston.
 Cost of goods sold was $28.2 million, a 5% increase versus prior year, despite having 28% higher manufacturing volumes. Even though we saw a slight increase in COGS, we are beginning to see the benefits of the Z3 product as we had higher manufacturing volumes this quarter compared to Q1 of 2023 when we were producing the Gen 2.3 product. The decrease in gross margins was driven by specific project revenue recognition timing combined with the switch to Z3 cube manufacturing.
 Looking at quarter over quarter results, we saw a 9% improvement in gross margins as we continue to see the benefits of recent cost outs, improved manufacturability, and we expect to see continued improvements once we transition to our new line. Operating expenses for the quarter were $19.5 million, a 3% decrease from prior year, resulting from slightly higher payroll expenses offset by slightly lower R&D spend. Total operating expenses included $3.1 million, or 16%, in noncash items including stock-based compensation, depreciation, and amortization.
 Our operating loss was $41.1 million for the quarter compared to $38.3 million in the prior year, driven primarily by the decrease in revenue that we discussed earlier. Excluding noncash items such as stock-based compensation, depreciation, and amortization, and PP&E write-offs, operating loss was $36.6 million. Net loss for the quarter was $46.7 million, a 35% improvement versus the prior year.
 Now, let's turn to Page 14 and look at how we're planning to grow the business as we scale capacity. We continue to believe this to be a very capital-efficient business as we are forecasting approximately $50 million in CapEx for over 2 gigawatt hours of production capacity, which is less than $25 million per gigawatt hour. As we've discussed previously, and in line with our original expectations, it requires approximately $30 million in CapEx to get to 1.25 gigawatt hours of annualized capacity. This includes CapEx related to the Acro Automation line and the related investment for injection molding tooling.
 As of March 31, we have spent a little over $21 million and have roughly $8 million to go for the remainder of 2024. These dollars are expected to be spent over the next 3 quarters with payment terms driven by progress milestones. Further, we are carefully evaluating our investment priorities to ensure that every dollar spent on capital expenditures has a direct impact on streamlining operations and improving productivity.
 Looking at the bottom left-hand side of the page, we are forecasting an additional $20 million in spend, which is in line with our original estimates, to further expand capacity and increase the throughput of our first line to reach over 2 gigawatt hours of annualized capacity. We expect the majority of this spend to be in the back half of this year and into the first part of 2025. This investment would include automating the subassembly processes on the front and back end of the automated battery line, as well as increasing the injection molding tooling capacity to keep up with the increase in production volumes.
 Automating the subassembly process is aimed to enhance operational efficiency, reduce labor costs, and minimize scrap. Today, the bipolar subassembly is one of the more labor-intensive areas of our semi-automated manufacturing process, as we have teams of people manually cutting and pressing felt into the plastic bipolar with a manually operated heat press. Automating this portion of the process is expected to increase our labor efficiency by approximately 87%, significantly reducing our direct labor costs. While we look to increase capacity and automate certain processes, we may adjust investment timing as it will be tied to securing long-term funding.
 And finally, let's shift our focus to our 2024 outlook on the next slide. Regarding our revenue estimates for 2024, we continue to expect to realize between $60 million and $90 million based on our current production plan and anticipated customer delivery schedules, which assumes that we will be running a semi-automated manufacturing line through the second quarter, and then transitioning to production of battery modules on the new state-of-the-art manufacturing line. As previously mentioned, we do expect our second quarter revenue to be lower than initial expectations as we transition to the new lower-cost battery module and scale back production volumes to better optimize our cost roadmap and conserve precious capital.
 Aligning our cost out roadmap with production volumes and critical customer commitments continues to be a key priority. This decrease is not indicative of a decline in overall performance, but rather a strategic shift from one period to another as a way to realize better unit economics as we transition to our automated line. We also continue to expect to achieve positive contribution margin in the fourth quarter of this year, which is defined as revenue, less direct labor, and direct materials, including the benefit of the production tax credits.
 The entire team is laser-focused on executing the cost out program that we detailed in December through a combination of increased production and improving operating leverage, as well as direct material cost outs that simultaneously improve battery performance and energy density. We continue to expect to reduce our total unit production costs in 2024 by approximately 76% from initial commercial launch with further cost out to be achieved when we continue to increase our capacity in the beginning of 2025.
 Once we achieve positive contribution margin in Q4, we intend to increase our production significantly with every incremental unit that we produce, helping to cover our fixed costs. We believe this disciplined manufacturing approach will allow us to conserve capital as we work on securing long-term funding and then lead to positive contribution margins in Q4 of this year.
 To conclude, we are incredibly confident in the roadmap that we've outlined, and the entire team is committed to meeting these benchmarks as we deliver both for our customers and the broader stakeholder community.
 With that, I want to thank everybody for their time and listening today. I would now like to turn it over to the operator for questions. Operator? 
Operator: [Operator Instructions] Our first question is going to come from the line of Chris Souther with B. Riley. 
Christopher Souther: Congrats on the progress here with the Factory Acceptance Testing. I just wanted to get a sense, what are the areas we're still working on to hit 10-second cycle times? If you could kind of walk through some of those areas that are a little bit slow in the line today, and then maybe walk through the steps needed from operational and/or financial we need with site acceptance testing in order to close the DOE facility as we see it today. 
Joseph Mastrangelo: So, on the line cycle time, look, there's 2 stations on what I would call the back end of the line that we need to work on speeding up the production of those individual stations. I would call from a level of complexity, not highly complex, just a matter of working through the control logic and how you pulse the batteries through the different stations. I think the team has a path on that. So we'll just continue pushing this forward. I mean, again, like with any production line, we're never going to stop making this thing better and improving upon this and 10 is not the end. 10 is the starting line to then find productivity year-over-year as we go through this. So this is just a natural evolution. What I'm particularly proud of is the front end of the line running at 10 seconds on every station. I mean, that's been an amazing amount of work being done really by 3 companies, Eos, Acro and Rockwell Automation just really pulling this together. And when you stand there and watch it, it's pretty impressive.
 From an SAT standpoint, look, we're sitting off the shop floor here in Building 700 and the first truck is here and they're unloading the first piece of equipment onto the line as we speak. It's going to be rebuilding that line here on the factory floor and then running SAT to get through a successful test, which we're confident on given where we are from a schedule. And we put a lot of planning into disassembly and the logistics around how things are arriving and how we're going to build out the line. On the floor, the team has spent the past month or so just getting the floor ready, wiring and prepared for electrolyte tanks to be installed to be able to get through on the throughput. So, we're pretty excited about getting through that per the plan by the end of Q2.
 On other things, like again, we haven't talked about the other CPs that we have around closing the loan, but we're confident that we're dialing in with those and working with the LPO to get to a successful close here after SAT. 
Christopher Souther: That's great. And then on the incremental $20 million CapEx to expand the Line 1 capacity to 2 gigawatt hours, would that be funded potentially upfront by the DOE, like I think you've talked about for future lines or would that be back-end like we've seen on the first 1.2 gigawatt hours? And I'm curious, do we need that subassembly automation to hit positive contribution margins later this year or not? 
Joseph Mastrangelo: Chris, just to clarify, that's not 1 of the positive contribution margins, our goal for the year as a company. It's not tied to the funding of the loan. I mean, when you think about the purpose of LPO, it's a bridge to bankability. So that's not 1 of the conditions that we have, but every LPO loan has the same mechanism in that it's a reimbursement of cost. So you would invest that cost and then that cost would be reimbursed. If you remember, when we talked about the loan closing, we got the maximum amount of reimbursement at 80%. So you would spend that capital and then be reimbursed 80% of the capital spent to be able to do that work. 
Operator: And one moment as we move on to our next question. And our next question is going to come from the line of Chip Moore with ROTH. 
Alfred Moore: I guess, congrats on factory acceptance as well. I think, Joe, you did a good job on the last question there. Maybe you can expand on sort of what you learned during that process, and I guess would you say that site acceptance was fairly derisked here, just given some of those things you talked about in terms of planning for installation here? 
Joseph Mastrangelo: Yes. So thanks, Chip. Look, we learned a lot through this process, right? So, going through it really when -- I can't say enough about the Acro team and the way that we pulled together to get through this. I mean, this was literally run in the morning, sit down, do like an after-action report out, come back in the afternoon, run again, see where we improved and just continuously dialing in how material moved and how the individual stations worked. Really like what we've learned as we've gone through this is just the consistency that you get from an automated line of how you produce and just watching that time come down. When we started off on this, individual cycle times were above 20 seconds when we started, and you're basically, I mean, this is like running a marathon, right? You start off your training and you're not running as fast as you want, but the more you run, the more you run and the better you get.
 And I think we learned a lot about component quality, how we feed the lines, how the individual stations worked, and I think it's just pretty exciting to really think about executing this next phase of the installation. Like we had a plan that said, get through FAT successfully, start taking apart this part of these individual portions of the line, get it on trucks and get trucks to Turtle Creek and, first, as I said earlier, first ones here, next 2 are arriving, we'll have 3 trucks worth of equipment arriving. There's a team from Acro on site.
 If you come and look at the parking lot, there's Wisconsin license plates out in the parking lot because they're here with us, helping us put the line back together. One of the things that we did do was, we had our line operators in Acro last week for the FAT, so they've run the line. When we were building the line, we had our maintenance team there helping to build the line. That's a learning curve that as things arrive here, we'll know how to put the equipment back together again because we've done it once before. So, I feel good about where we are. And again, like we've got a fairly detailed daily plan of how we have to work through this, and we'll just continue to work through this and let everyone know when we get through SAT where we are. I mean, I feel confident but never feel like you've won the game until you cross the finish line. I think that's what we're focused on, getting across the finish line. 
Alfred Moore: That's great. That's helpful color. And if I could ask about liquidity, I think you talked about PTC monetization. I think maybe being able to accelerate efforts there, and then anything you can give us on line of sight on milestone cash payments or anything else on liquidity. 
Joseph Mastrangelo: Yes. So on the PTC, it was a significant amount of work to get the first deal done. As you know, the marketplace is still fairly new, but we do have a counterparty that has an appetite for more tax credits. And we've already worked through all the legal documentation to get one done. So I do feel like we could monetize every quarter much quicker going forward. And that's our plan in order to do that.
 From a liquidity standpoint, look, I mean, it's consistent with what we've talked about previously, which is, focus on getting the SAT completed here at the end of the quarter, meeting the final conditions for long-term financing and, in the short term, continue to manage cash outflows as efficiently as possible while still hitting critical customer delivery dates and then in trying to pull in customer milestone payments and deposits. So, kind of balancing that in the short term as we focus on getting the line implemented in long-term funding security. 
Alfred Moore: Maybe just 1 last 1 on that incremental $20 million to get to 2 gigawatts and automated bipolar subassembly process. I think you mentioned sort of timing on that tied to securing longer-term funding. Does that imply that that's not -- DOE loan is not contingent upon that? 
Nathan Kroeker: DOE loan is not contingent on that. That would be a future event, just like Line 2 or Line 3 and that we would spend the money, apply for reimbursement and get reimbursed. Joe touched on the mechanics of the loan a little bit earlier. I mean, once you get through the first reimbursement, that money goes into an account and kind of recycles inside the mechanism to where we can use that to pay for the next round of costs and then submit for reimbursement again. So once you get through the first closing and funding, that money kind of recirculates within the cap stack, if you will. 
Operator: And one moment as we move on to our next question. And our next question is going to come from the line of James West with Evercore. 
James West: So congratulations on getting the line up and running. As you guys, you'll get more experience and ramp further here. Any changes to the strategy for Line 2, 3, 4 and expanding capacity further? And then, did I hear correctly that this, what you have in the backlog should take up most of the capacity, if not all, of Line 1 for the next 1 to 2 years? 
Joseph Mastrangelo: Yes. If we just stay pat on Line 1, yes, James. I think, underlying your question, if you look at what's happening in the marketplace, the market continues to accelerate to bigger projects with longer duration energy storage and a somewhat demand of domestic or U.S. produced technology for energy security. All 3 of those things -- I think, Eos meets all 3 of those criteria. So as you look at the strategy for expansion, the strategy for expansion is going to continue to be expanding as we get backlog. I think what we've learned going through the line with Acro on Line 1 is, we can convert these lines in a relatively quickly and we're only going to add that capacity as we see the backlog firming up and the pipeline firming up to be able to produce.
 What we don't want to have is, like really want to avoid, capacity chasing orders versus orders wanting to get in front of capacity and us investing our capital when we have the orders to be able to deliver, and that will continue to be the strategy. Now, what I think we're seeing is a building storm, if you will, inside of what we're trying to do in the country and also starting to see Europe and India and Australia and other places go through the same acceleration that we're seeing in the U.S. So I think demand signals will continue to strengthen. The entire philosophy of how we came up with our manufacturing capacity strategy was build it in lines, make the lines incrementals, spend capacity as you need it. And if you have demand signals that come from other places, you would then expand into other buildings. So this isn't like, I don't think our strategy has ever been a 10 gigawatt hour factory in Pennsylvania, it's build out Project AMAZE in Pennsylvania, then look where you can reduce logistics costs by co-locating a factory near demand. And that will be the next phase of the growth as we get through this first part here of getting the line up and running and delivering. 
James West: Okay. Okay. Makes sense. And so for -- to push go on kind of a Line 2 is, would you need to have it totally sold out, half sold out, what's kind of the gating factor or the data point you need to see before you commit to it? 
Joseph Mastrangelo: So, look, I think we look forward on a rolling basis, 6, 12, 18 months, you're going to be looking out -- you're going to be looking out on the 12 to 18 month demand signal and want to have -- in my view, you're going to want to be close to that 50% mark because you can absorb that and continue to, and make profit off the line. Like when you look at it, and this, just if I take back your question, James, and kind of link it back into like our second quarter numbers. If you look at what happened in quarter to us on the page where Nathan walked through cost out, we don't want to have capacity sitting there underabsorbed that drags down the performance of the company.
 So like when you look out, you say, if I get to 50% on line, I can absorb that capacity and still get to breakeven positive on a contribution margin basis. And that's how we'll make the investment decisions. But at the same time, you're going to be weighing the opportunity pipeline and what's out there for conversion and the orders over that 12 month time period to take that 50% that you're locked in on and increase that as you move forward. And I think that's going to be the best way for us to continue effective utilization of capital and deliver a company that has profitable growth. 
Operator: And one moment as we move on to our next question. And our next question comes from the line of Joseph Osha with Guggenheim. 
Joseph Osha: I did want to return quickly to this issue on the DOE side. I guess I had gotten the impression that site acceptance was really the major thing that we had to deal with prior to the initial draw, and that it might be reasonable to expect that to conclude by the end of Q2. So, I guess I'm asking, A, are any of these other CPs really material hurdles in your view? And B, are you still comfortable telling us that we should get there by the end of Q2 in terms of the initial draw? 
Nathan Kroeker: I think this -- so you asked a couple of questions in there. One, we're on schedule to get SAT done by the end of the second quarter. That is a significant CP in terms of the DOE. There's obviously, we've got to submit our eligible expenses, they've got to review, they've got a process, they've got to reimburse. We've been led to believe that's probably a 30-day turnaround time. And that is -- there's other smaller CPs, but we've always been focused on the SAT. I think that's the big one we've got to focus on. And so, I would anticipate closing funding several weeks after that. 
Joseph Osha: So I guess, let me try it a different way. Do you believe that you're going to be in a position then to give the LPO the relevant documentation by the end of the quarter? 
Joseph Mastrangelo: So Joe, they'll be part of the SAT process, as they have been all the way through this. I'm not going to make a commitment on the cycle time and the processing time of an external entity, but we feel like we'll be able to show them that the line is running to the performance that we signed up to in the loan. And then from there, as Nathan said, we have to go through the process of reimbursement of the costs -- review of the costs. 
Joseph Osha: Okay. All right. That's helpful, I have some more, but I'll take it offline for later. 
Operator: One moment as we move on to our next question. Our next question comes from the line of Martin Malloy with Johnson Rice & Company. 
Martin Malloy: Congratulations on all the progress you've made, including the cost out initiatives. My first question, I just wanted to ask about customer conversations over the last couple months and if they've changed. We're hearing in the press a lot more about utility companies increasing their expectations for demand and data center power needs increasing and them wanting power as quickly as possible and reliability. Can you maybe talk about anything you're seeing with respect to that, that maybe has changed with customer conversations or new customers in the last couple months? 
Joseph Mastrangelo: Well, Marty, I think you see it in the growth of the opportunity pipeline on a quarter-over-quarter and year-over-year basis. Yes, I mean, there is a lot -- there are conversations we're having on the data center side. We feel like we've got a really good solution for data centers. And we always have to remember, data centers, there's 2 types of energy they're looking for. There's the emergency response, which we are not. And then there is the operating and providing the energy for the data center, which I think we have a good fit for. We continue to work through with multiple customers, multiple opportunities and just see that this is an emerging realization of there's a lot more power demand out there, and long duration energy storage can help fit and deliver that demand requirement. And we have a solution that fits that really well. 
Martin Malloy: Great. And for my follow-up question, just wanted to ask about maybe initial thoughts on the impact on Eos from the tariffs that were announced yesterday and how that might benefit Eos in your domestic content that you have. 
Joseph Mastrangelo: Okay. I mean, Marty, I think from the standpoint of wanting to bring manufacturing back to the United States and wanting to invest in manufacturing and wanting to not just bring it back, but also incentivize the growth of companies like Eos, I think it's a great piece of legislation both not just for energy storage, but also for EVs. I think the timing of when it comes in for energy storage times well to when we'll be up at scale and running as it gets into 2026.
 I think when you take the combination of the tariff, the fact that we're above 90% on U.S. content, so the investment tax credit that the customers get and the energy security piece of this, let's not downplay that, I think you now have really good conditions for companies like Eos to grow in the future. And I've said many times, we're going to need more than 1 Eos to be able to meet this demand. We've been positioning the company very purposefully for the timeframe that we're talking about as growth hits.
 And I think, Marty, the other piece that I'd like to talk about is, going back -- linking your two questions together, in my nearly 6 years here with the company, the overall industry has changed dramatically. And I think, when you look at, when I first came here, we were talking about energy storage for minutes, maybe if we get 2 hours, 4 hours being the goal, to now talking about plus 6 hours, large scale, like when you look at what the team has been able to do here in transitioning from Gen 2.3, which 6 years ago would have been a product that could have met that market that was much smaller with a much more bounded use case to coming out with the Z3 and the work that the team continues to do. It positions you perfectly for the market -- for the future of the market, where the market's going to be in the future, not where it is today. And I think, we're just going to keep working on that and keep improving what we have and keep driving costs down and keep getting a U.S. supply chain to deliver the energy security and a competitive product that meet the future demand that we have for energy. 
Operator: And one moment as we move on to our next question. And our next question comes from the line of Thomas Boyes with TD Cowen. 
Thomas Boyes: Maybe just 2 quick ones. Great to hear that you're at 90% for kind of domestic content. Can you get to 100% at some point? Is that the ultimate goal? Or there may be some things that just can't ultimately be insourced fully even over the longer term? 
Joseph Mastrangelo: So, yes, you can get to 100%. It's a goal we put out there for ourselves. I think when you look at like the core portion of what we do, the components in the battery, the software and the BMS, yes, 100%. That's the goal. Other ancillary things, there may be some hardware and fans and other things that might not come from the U.S., but what we're marching to as a team is, how close can we get to 100%. And again, like part of that also is making our supply chain simple and making it easy to work and control and get quality from our suppliers versus adding the complexity of trying to do this globally when you're a small company.
 I mean, I think the fact that we went with the strategy of, let's look at, really when we started it was North America and then honed down into the U.S., it's made our ability to grow the company and switch over to the Z3. It's enabled us to be able to do that because everybody's close by. You can actually talk to people face to face and go to their facilities and they can come to our facility and it just allows you -- innovation requires getting in a room together and working through the challenges to get to an innovative product and having it local, makes it simpler and faster. 
Thomas Boyes: Excellent. I appreciate the insight there. And maybe just the last question, when you're expanding capacity for Line 1, do you need to kind of pause production at some point so that work can be done or can it occur concurrently with operations? It sounds like it can based on kind of what you had -- you laid it out on the call, but I wasn't sure. 
Joseph Mastrangelo: It's concurrent. So it's not -- it's feeding parts into the main line. And we've been working on this as far as getting a conceptual design done and doing some pilot testing, and then we'll launch the full automation of the bipolar production. But that happens as an input into the line, not on the line itself. 
Operator: And one moment for our next question. And our next question comes from the line of Vincent Anderson with Stifel. 
Vincent Anderson: It's been said already a few times, but I think it was barely a year ago when I was out in Turtle Creek watching you use a Jerry Rigg T-shirt press for prototyping the Z3 cell. So, to go from that to an automated production line in barely a year is really honestly impressive. So I wanted to echo the congratulations just 1 more time.
 You settled on ramping Line 1 to 2 gigawatt hours. Can you just maybe talk me through what led you to that decision versus building out a second line first? And then, you touched on this already, but maybe just initial feedback from your automation partners on the subassembly step. 
Joseph Mastrangelo: So let me start at the end there, and I'll work my way back, Vincent. So, on the subassembly work, we feel confident that we'll be able to do this. Like I said, there's been some pilot work done. Part of -- we've already automated, I'd say, on our terminal manufacturing. We've already automated that process. So that is a very similar manufacturing process. We feel like automating the other subassembly is going to give us better, obviously, consistency of parts coming off of the line. We feel confident that we have a layout and solution that we can execute on, and we've done some testing on individual processes.
 So we followed the same playbook that got us where we are, which is, get your discrete processes within the manufacturing, get them working on an automated fashion, and figure out how to move things between their individual stations. And that's really what we're working on now with Acro for the subassembly piece of it. That's going to help us, I think, on your question of why not go for a second line? You need the subassembly to feed 2 lines. You need the subassemblies up and operating at that line rate. We've always planned that. And I think that would be a fast follow, depending on where we are with the backlog, to launching the second line and getting the profitability where it needs to be.
 And I think the main goal, if you go back to what we said in December, Vincent, is like continue to drive the cost-out program. We're making good progress on bill of material costs. As Nathan laid out on his page, it's now about utilizing your labor and your capacity to its fullest to get to position the company to become contribution margin positive and then go into cash flow positive as we get into 2025. The Line 2 launch comes down to allocation of capital and us getting the company to where we're generating the cash to be able to do that, tied in with the funding from the DOE loan. 
Nathan Kroeker: The only thing I would add, Vincent, is just efficient use of capital, right? The first 1.25 gigawatt hours was $30 million. For an incremental $20 million, we can effectively double that within our existing footprint, within our existing square footage. So from a capital efficiency, it's more efficient to just increase the capacity of the first line than to go and build the second line. 
Vincent Anderson: Okay. That's perfect, I appreciate it. And I know we're coming up on time here, but I had a few questions all kind of related to the commercial side of things, so I'm just going to try to speed run them. When I think about the cubes that are being installed or they are installed, hopefully they'll start up soon. When I think about the marketing value of the data they're going to spit out, are we thinking about this as those customers that have received those cubes are going to turn around with that data and hopefully put in more orders or is this more about Eos collecting that data and having something to point to other customers in the pipeline in order to generate additional orders? 
Joseph Mastrangelo: Yes, it's in both. Yes and yes. That's exactly how that's going to work. 
Vincent Anderson: Okay. And then Joe, maybe I'm misinterpreting or overinterpreting this, but you specifically pointed to FAT rather than site acceptance testing as being the stage that was really important to your potential customers. I'm curious, did you have potential customers come in and view the line while it was at Acro as part of their diligence to help accelerate the pipeline conversion? 
Joseph Mastrangelo: We've had customers go visit Acro. I think my point, Vincent, is like, when you -- part of the challenge of this road that we're on is, there's been people before us that have tried and haven't gotten there. So when you talk about being able to automate production, a lot of people question, can you do it? Because we've seen a lot of other companies try and not get there. Being able to say come out and let's watch it, stand there with a stopwatch and time the individual stations. And when people start timing it, and maybe they use a stopwatch or maybe it's kind of like, flag football where they're counting 10 Mississippis and saying, all right, that's 10 seconds. I mean, it proves out to people like this can really happen. It's not just a concept. And there's a lot of people, Vincent, that have kind of where you started on the call, which is -- I came to Turtle Creek. I could see the potential of where you can take this to wow, you're doing it. And this is great.
 And I think that's just, it's a show me game. I've said this many times, like we've got to show people and earn the right to grow this company and showing people SAT, and when I talk to customers about this, it's along the lines of -- we've created a line. Do you think we can't take it apart and put it back together again? And that's where we are when I think about SAT. 
Vincent Anderson: Perfect. And then I'll just -- one last one here for you, Joe, your alma mater there over at GE Vernova. It's now kind of through the distraction of becoming an independent entity. Just curious where you view them in kind of your value chain, particularly given their position in wind energy. And if that's a pretty actionable partnership opportunity going forward? 
Joseph Mastrangelo: Yes. I mean, look, I mean, hey, congratulations to Scott Strazik and the team there. Having done it on a much smaller scale, I can only imagine how excited they are to be able to be focused on the energy industry. There's always opportunities to partner with anybody that has production, whether it be wind turbines, whether it be solar modules, whether it be gas turbines, there's a ton of opportunity to be able to do that. Won't comment on any specific conversations with any players, but there's a lot of opportunity here as the market starts to evolve, and we continue to put the proof points out on the product. 
Operator: Thank you. And I would now like to hand the conference back to Joe Mastrangelo for closing remarks. 
Joseph Mastrangelo: Hey. Thanks, everyone, for being on the call today. I really appreciate the time. Again, proud of the team and the work that they've done. Really we've got to continue executing, and the challenge now is taking what has been a very detailed logistical plan and turn that into a line on the factory floor that's pushing batteries off that line every 10 seconds, and continuing to get the product out in the field commissioned and up and running and just continue to show the value that the Z3 brings to the market and the need that it fulfills in the future energy demands for the world.
 And we're just going to keep working on that every day. There's a lot of work left to do, and that's what makes the job both challenging and fun at the same time. And there's a group of people here that I couldn't be prouder of calling my colleagues because of the energy and enthusiasm and dedication they put into building a successful company. 
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.